Executives: Janet Drysdale - Vice President-Investor Relations Claude Mongeau - President, Chief Executive Officer & Director Jim Vena - Chief Operating Officer & Executive Vice President Jean-Jacques Ruest - Chief Marketing Officer & Executive Vice President Luc Jobin - Chief Financial Officer & Executive Vice President
Analysts: Fadi Chamoun - BMO Capital Markets (Canada) Kenneth Scott Hoexter - Bank of America Merrill Lynch Erin Lytollis - RBC Dominion Securities, Inc. William Jeffrey Greene - Morgan Stanley & Co. LLC Cherilyn Radbourne - TD Securities Chris Wetherbee - Citigroup Global Markets, Inc. (Broker) Jason H. Seidl - Cowen & Co. LLC Benoit Poirier - Desjardins Securities, Inc. Brandon Robert Oglenski - Barclays Capital, Inc. Allison M. Landry - Credit Suisse Securities (USA) LLC (Broker) Scott H. Group - Wolfe Research LLC Turan Quettawala - Scotia Capital Markets Matt Troy - Nomura Securities International, Inc. Thomas Wadewitz - UBS Securities LLC J. David Scott Vernon - Sanford C. Bernstein & Co. LLC Steve Hansen - Raymond James Ltd. (Broker) Brian P. Ossenbeck - JPMorgan Securities LLC Tom Kim - Goldman Sachs & Co. Steven I. Paget - FirstEnergy Capital Corp. Keith Schoonmaker - Morningstar Research
Operator: Welcome to the CN's First Quarter 2015 Financial Results Conference Call. I would like to turn the meeting over to Janet Drysdale, Vice President, Investor Relations. Ladies and gentlemen, Ms. Drysdale.
Janet Drysdale - Vice President-Investor Relations: Thank you, John. Good afternoon, everyone. Thank you for joining us. We are very pleased to be taking the call today from Memphis, Tennessee, where we will be holding our annual general meeting tomorrow morning. In the meantime, we're enjoying the fine weather, the southern hospitality, and of course the Memphis barbecue. Just before we get started, I would like to remind everybody of the comments that have already been made regarding forward-looking statements. With me today is Claude Mongeau, our President and Chief Executive Officer; Luc Jobin, our Executive Vice President and Chief Financial Officer; Jim Vena, our Executive Vice President and Chief Operating Officer; and JJ Ruest, our Executive Vice President and Chief Marketing Officer. In order to be fair to all participants, I would ask you to please limit yourselves to one question. It's now my pleasure to turn the call over to CN's President and Chief Executive Officer, Mr. Claude Mongeau.
Claude Mongeau - President, Chief Executive Officer & Director: Thank you, Janet, and it is indeed a sunny day here in Memphis. Thank you all for joining us on this call. We have a solid start to the year, very good first quarter results, and we would like to take you through them, but let me just give the highlights. Clearly revenues have been growing, some of it is because of last year but some – and most of it is because of our strong momentum in many markets. Revenues are up 15% on the nearly double-digit volume growth. JJ will give you the detail of that. Clearly we're able to grow faster in the economy as per our plans and bring it down to the bottom line. We're balancing operational and service excellence. Jim's team has been able to run a very fluid network throughout the winter. It was an easier, milder winter in Western Canada with less extreme cold, but make no mistake we had our fair share of issues, particularly in Eastern Canada with a lot of snow and difficult winter conditions on the east end of our network. You put it all up together, they are able to drive that grow, that low incremental cost. We're very pleased with our operating ratio at 65.7%, and the rest flows. Strong earnings growth, up 30%, and strong free cash flow. Now, Luc will give you some of the details. We're obviously getting help from exchange and from the fuel surcharge lag, but you take it all out and look at the underlying performance, very much a good start to the year and overall results that we are very pleased with. So, without further ado, because we want you to have as many questions as possible, I will turn it over to Jim to discuss our operating performance.
Jim Vena - Chief Operating Officer & Executive Vice President: Claude, thank you very much, and I will be brief this year or this quarter. So, maybe just to frame it a little bit more with the weather in the first quarter. We had a strong first quarter. Workload on a GTM basis, which gives me a good reflection of what the workload is like, was up 9.8%; and as you'll hear later on, the RTMs were 7.1% higher. No if, ands or buts would compare to the first quarter of last year. Weather was much more temperate than last year in Western Canada through Wisconsin and Minnesota, but was much more impactful in Eastern Canada, and in fact in Atlantic Canada significant winter as I've seen or we've seen in many years. So given that, we expected a betterment in our operating metrics. But the fluidity of the network as evidenced by double-digit improvement in car velocity, significant betterment in terminal put-through, train velocity, locomotive utilization provided great feedback on our agenda of operating excellence. Our capital investments on pinch points with an unending view to use all our assets whether it's people, the plant or the locomotives in a manner, which has not changed the fabric of who we are and deliver on service excellence is a strong combination, and I think the first quarter was a good reflection. Turn over to the next page, please. Our agenda does not change. Our culture is built on foundation of moving equipment as fast as possible in a safe manner. Nothing compromised in being able to move faster in a safe manner. But we did have two significant derailments in the first quarter, and we have been aggressive in analyzing what occurred to see if we need to change anything we are doing. We have not completed the entire review, but we'll not stop until we understand if there is anything else we need to do. Our overall safety metrics for all incidents and injuries, if you put them all in the mix is better year-over-year, but we know safety is at the cornerstone of everything we do, and we will not rest until we understand better what we need to do and change if anything. The keys to operating and service excellence is understanding the entire supply chain. Better understanding customer needs by using technology, which we've implemented to give us more visibility, and having key measures that we both, the customer, ourselves, and the different parties that we interact with, so we can measure and understand how we're doing if we're doing better improving or whether we need to work on some things, and we're very happy with the progress we made and still some progress to make but at this point, very comfortable with where we are. It's all supported by what we do for capacity. We've been double tracking on the Steelton Hill. We've been adding capacity east of Edmonton. We've not only added capacity on our mainline corridor, we've added capacity in our yards to make sure we're more efficient. We announced and we continue to invest in our secondary mainlines, and of course, continue to invest in training because of the number of new recruits we have, re-certifications or re-familiarizations. But before I pass it on to JJ, just let me finish with this. Good quarter but it's where I expected us to be. So we'll continue to work hard on our agenda to improve and provide our marketing and sales people the best product to sell. So, JJ, over to you.
Jean-Jacques Ruest - Chief Marketing Officer & Executive Vice President: Well, thank you, Jim, and thank you for all of you who are joining us on the call today. It's JJ speaking, and I will go over the next few minutes bring you to the highlight of our first quarter revenue performance and then provide you with our commercial outlook. Revenue for the quarter totaled CAD 3.1 billion, an increase of CAD 405 million, and as stated by Claude earlier, 15% over last year. The broad breakdown is as follow: Volume produced about 8% revenue growth. CN led the industry in volume with carload increase of 9% and revenue ton mile increase of 7%. Same-store price reduced 3.9% after adjusting for exchange and fuel surcharge in line with our fourth quarter pricing result. Exchange added another 7.5%, the Canadian dollar is at CAD 0.81, was weaker versus the CAD 0.91 that it was last year. And fuel surcharge, which revenue were heading down reducing revenue around 3%, a trend that will definitely worsen next quarter. The applicable WTI tariff was based on $61 crude this quarter versus $91 of last year, and the applicable on-highway diesel tariff was based on $3.35 versus the $3.87 of last year. Recall that there is a two-month lag in applicable WTI and on-highway diesel tariff. All in all, a solid first quarter driven by volume growth, consistent pricing and solid operating execution by Jim's team in the field. Now, I will review each segment. This time I will speak to the revenue variance on the as-reported basis in Canadian dollars and inclusive of the fuel. Starting with grain and fertilizer, the grain revenue were up 19% on solid operating execution. Our Canadian grain revenue was strong with commercial grain increasing 33% and regulated grain rising 26%. Our spotting program in Western Canada increased to 4,500 hoppers per week on average versus the 3,700 hoppers of last year. The U.S. grain revenue was up 6% despite carload falling 8% as we ran out of export grain early. Fertilizer revenue was also strong, up 38%, led by solid global potash demand and solid operating execution in the field. Coal, our Canadian coal revenue was almost cut by half, shrinking to a handful of mine, which continue to operate in Canada at reduced rate. Our U.S. coal revenue continued to increase with stronger export carload and stronger domestic utilities carloads during the first quarter. Petroleum and chemical growth in crude by rail revenue was up 10%. We moved 30,000 carload of crude down sequentially from the fourth quarter of 33,000 carload, and up from last year's Q1 of 28,500 carloads. Our mix of heavy to light crude remain at 60% in favor of heavy. Natural gas liquid produced well, now that the Cushion (10:03) pipeline is reversed and no longer available for Canadian NGL transport. Low feedstock price contributed to strong production rate at our plastic plants, and finally movement of TIH carload was down 25%. Now forest product. Lumber and panel produced 33% revenue increase driven by a 12% U.S. volume growth on U.S. housing start, obviously, and highway to rail conversion of Asian export over the Port of Vancouver. Pulp was up 10% on account of higher Asian export. And we are having good success with our low-velocity pool system, which prioritize order taking. The velocity of our premium boxcars and center beam fleet has increased, and we are achieving a higher customer order fulfillment in a more positive customer sentiment. Metals and minerals, frac sand revenue rose almost 70% over last year. We move over 23,000 carloads in a quarter. 50% more than the 15,000 car that we moved last year, but sequentially down from the 29,000 carload of the fourth quarter. The iron ore supply chain, including vessel and dock revenue, was up 25% due to solid execution by the iron ore supply team of CN. We had upside in non-energy related semi-finished steel, aluminum and non-ferrous, but this was partly offset by much weaker energy-related steel demand and much lower North American steel production rate of 73% in the first quarter, down 7% from last year. Production is hurt by the U.S. strong dollar resulting in a surge of steel import in the U.S. Automotive revenue increased 23% on strong demand across the board and on new business volume. We have pent-up demand as one of our major customers experienced an extended quality hold delay, and our European imports were delayed by many East Coast ice storm. Intermodal, overseas revenue was strong and came from the volume of the very fluid West Coast Port of Rupert and Vancouver and in the East over the Port of Montreal. Domestic revenue was down 3% in part because of the derailment in Northern Ontario, which specifically affected our domestic service. The inland terminal of Chicago, Memphis, Detroit, and Joliet saw the biggest overall intermodal growth for CN. So now turning to the outlook. Broadly speaking for the coming months, exchange and fuel surcharge will create very strong opposing win. We are likely to have a sizeable gain from exchange rate, which is likely to be offset by a sizeable reduction in fuel surcharge revenue. On crude, we see potential from the startup this mid-quarter of new crude rail terminals in both Alberta and Illinois, but we also see increased volatility in crude volume. On frac sand, we foresee a volume pause for the seasonal spring breakup and a wait-and-see after that. Because of that, overall, our crude and frac sand for the full year we are now aiming for 40,000 carloads of combined carloads of crude and sand. We have a weak production from the Canadian coal mine and in Canadian grain export a smaller carryover than last year, not quite enough grain to keep our export at the level of the spring and summer of last year. On a positive note, we count on U.S. housing start related volume that is lumber, panel and container import. We count on automotive sales, that is carload of finished vehicle and import containers of auto parts. We hope for a positive potash market during the spring. We count on the strength of our intermodal franchise and on the strength of the U.S. consumer confidence supporting consumption-driven business. We also count on our expanded merchandise railcar fleet to capitalize on the manufacturing sector, despite some decline of the Purchasing Manager Index in both Canada and the United States. Longer term, the container ports we serve are in very good shape and our intermodal international franchise will be enhanced by the Maher Rupert terminal 500,000 TEU expansion by the Port of Montreal 600,000 TEU expansion, and by the future new rail-on-dock service in Mobile, Alabama. In conclusion, we have a very diversified portfolio, which carry us throughout the rotation of diverse commodity market and through the regional economic cycle. We are aiming for 3% carload growth. We reiterate our 3% to 4% same-store price, and we continue to focus on yield. Luc?
Luc Jobin - Chief Financial Officer & Executive Vice President: All right. Thanks very much, JJ. Starting on page 12 of the presentation, let me walk you through the key financial highlights of our first quarter performance for 2015. As JJ mentioned, revenues were up over CAD 400 million or 15% to reach CAD 3.1 billion in the quarter. In the quarter, fuel lag represented CAD 57 million tailwind in revenues. Operating income was CAD 1.063 billion, up over CAD 240 million or 30% versus last year. Our operating ratio was 65.7%, a record level for a first quarter. This represents a 390 basis points improvement over last year as we enjoyed strong business volumes, and in contrast to 2014, we experienced a more normal winter season on average across our network. Other income was CAD 4 million, this compares to CAD 94 million in 2014, which included a pre-tax gain of CAD 80 million on the sale of a subdivision to a transit agency. Net income stood at CAD 704 million, up 13% and the diluted EPS reached CAD 0.86, up 15% versus last year. Meanwhile, the adjusted diluted EPS also, at CAD 0.86, was up 30% after excluding last year's major asset sale. Foreign currency exchange was CAD 56 million favorable to net income in the quarter. Turning to page 13. We once again were able to deliver superior growth at low incremental costs. Operating expenses were up 9% at just over CAD 2 billion. Expressed on a constant currency basis, this is up 2% or CAD 46 million. At this point, I'll refer to the changes in constant currency. Labor and fringe benefit costs were CAD 668 million, a 9% increase over last year. This was the result of two elements. First, an increase in overall wage cost of 6%, made up of 3% wage inflation and 6% increase in average head count, partly offset by higher capital work. Second, the second element was a higher pension expense for CAD 15 million or 3 percentage point of the total labor bearings. Purchased services and material expenses were CAD 457 million, up 12%. Higher volume drove increased costs, including materials for 8 percentage points, as well as repairs and maintenance expenditures for 3 percentage points. The fuel expense stood at CAD 361 million or 31% lower than last year. Price was CAD 161 million favorable versus last year, and fuel productivity went up by 2.5%, but this was partly offset by higher volume for CAD 41 million of unfavorable variance. Depreciation stood at CAD 296 million, CAD 29 million higher than last year or 11%. This was a function of asset addition as well as the impact of depreciation study and other adjustments. Equipment rents at CAD 94 million were CAD 9 million higher than last year or 12%. This is due to increased net car hire expense and equipment leasing costs. Casualty and other costs were CAD 159 million, CAD 54 million above the prior years. Two elements drove this increase. First, accident-related costs were CAD 40 million higher than last year. Second, workers' compensation costs were approximately CAD 10 million more as we had the benefit of a one-time credit received in 2014, which obviously didn't come around in 2015. Moving on to cash. We generated free cash flow of CAD 521 million in our first quarter, and that's approximately CAD 27 million higher than in 2014. This was mostly driven by higher cash flow from operations at CAD 992 million, partly offset by higher capital expenditures at CAD 468 million. Finally on page 15, our 2015 financial outlook. We continue to be confident in terms of CN's prospects, notwithstanding the fact that we are experiencing conditions on a weaker than expected in energy related markets as well as coal exports. As we look to the immediate future, while North American economic conditions are somewhat mixed, consumer confidence is solid and expectations for increased spending should support continued growth in housing, automotive, and intermodal sectors. These and other key assumptions underpinning our outlook should translate into approximately 3% carload growth, with pricing in line with our inflation-plus policy. Therefore, we are affirming our 2015 financial outlook calling for double-digit EPS growth over the 2014 adjusted diluted EPS of CAD 3.76. We're also raising our capital investment program for the year from CAD 2.6 billion to approximately CAD 2.7 billion, allocating an additional CAD 100 million to safety-related infrastructure investments. Furthermore, we continue to pursue our shareholder return agenda with a substantial stock buyback program under way, a 25% increase in dividends for 2015, while gradually moving towards a 35% dividend payout ratio. So, a great quarter. And on this note, I'll turn it back over to you, Claude.
Claude Mongeau - President, Chief Executive Officer & Director: Okay. Thank you, Luc and team. So, clearly our agenda is delivering the right results, and we are very pleased with the start to the year. We're focusing on more than just the quarter. We're focusing on building the future. Our approach and focus on helping our customer win in the marketplace is resonating. It's helping us outpace the economy and outpacing the rest of the industry in terms of growth. We're able to accommodate that business at low incremental cost, because we have a very fluid network and our operating metrics are continuing to improve. This is driving productivity, but it's also driving service efficiency to help have the right value proposition for our customers. And we are investing for the future. This CAD 2.7 billion capital envelope is testament to our long-term confidence in our ability to continue to play our role in helping our customers win in the marketplace. We're doing it overall with a lot of investment in safety, a lot of investment in growth, a lot of investment in productivity, and everything that drives our agenda, but we're also starting up with a number of very large-scale projects that are indications of our willingness to stay ahead of the curve. Our investment in Milton – sorry – our announcement of a new Milton project, for instance, in Toronto is a very good example. We are an important intermodal carrier in and out of Canada, and we need the growth in terminal capacity to allow us to link up to the investments that are being made by our partners on the West Coast. JJ referred to one, in Rupert, but we expect others to follow in Vancouver, Montreal, and elsewhere. We're increasing our overall capital envelope to double down on our agenda of moving goods safely and doing that with a high level of service. And if you do that consistently with a marathon-like approach, in the end, you drive value for shareholders, which is what we're geared up to do every quarter, every year for many years to come. So with that, I will – we will move over to the question period, John.
Operator: Thank you. We'll now take questions on the telephone lines. Our first question is from Fadi Chamoun from BMO. Please go ahead.
Fadi Chamoun - BMO Capital Markets (Canada): Yes, good afternoon.
Claude Mongeau - President, Chief Executive Officer & Director: Good afternoon, Fadi.
Fadi Chamoun - BMO Capital Markets (Canada): So, I just wanted to circle back on the CapEx, I mean, you're revising your volume expectation a little bit down that your CapEx is going higher. My sense is that, there's a bit of change in terms of the risk tolerance towards safety and derailment maybe, and I'm just wondering whether you would consider this sort of systematic change on how you look at your infrastructure and what you are willing to tolerate in terms of safety risk. Or is this sort of a one-time sort of identification of issues that you want to fix?
Claude Mongeau - President, Chief Executive Officer & Director: No, Fadi, I think, you have to look at this as a consistent strategy. We are always staying ahead of the curve. We've been investing in our core mainline network in terms of capacity over the last couple of years. You may have seen last week, we announced a multiyear program to invest in our feeder network. It's a long-term program to make sure that the growth that we see coming off of our Western Canada feeder network, that we have the infrastructure to do it safely, and that we have the infrastructure to grow with our customers in that part of our network. So, you should think, it's for safety, it's for growth, it's for capacity, it's for all of those things that we are investing, and we are doing so with a lot of confidence in our future prospects. It's not about anything that we have found lately that is causing us to increase our CapEx.
Fadi Chamoun - BMO Capital Markets (Canada): Okay, great. One other thing sort of on the energy carload change; is that decline from 75% to 40%. Can you split that sort of between crude and sand? Is it more sand driven than crude?
Claude Mongeau - President, Chief Executive Officer & Director: We've given you guidance that is combined and there's a reason for that, Fadi. It's kind of difficult in this uncertain environment. I think 40,000 overall, that's about good as it get in terms of growth outlook and guidance that we feel in a position to give you.
Fadi Chamoun - BMO Capital Markets (Canada): Okay. Thank you.
Claude Mongeau - President, Chief Executive Officer & Director: Thank you, Fadi.
Operator: Thank you. The next question is from Ken Hoexter from Bank of America. Please go ahead.
Kenneth Scott Hoexter - Bank of America Merrill Lynch: Hey, Claude, thank you very much for that insight. But can you – maybe if I could just follow up on that, I want to understand the moving down on carloads, but increasing CapEx are you – I just want to understand, are you overinvesting, or are you saying these are longer term projects that you need to get out in front of, because the volumes are – I just want to understand given the downtick on volumes, maybe I'm not clear on your answer on that prior question.
Claude Mongeau - President, Chief Executive Officer & Director: Yeah. Well, as I said in my closing comments and in my answer to the question, we run a marathon. We run a business over many years and we line up our initiatives, our assets, our resources over a longer time cycle. I think you are reading too much in terms of our decision to move forward with our feeder network investment in Western Canada and this quarter's revision to our energy outlook. If anything we are making those investments because we think there's a bright future for frac sand and for energy movements of our products in the long-term future. So, it's geared up to a view that the business will be there, and we are starting those programs this year, adding CAD 100 million to our overall capital expenditure as part of a program that will span over the next three years, close to CAD 500 million in Western Canada.
Kenneth Scott Hoexter - Bank of America Merrill Lynch: Great. I saw the – as a follow-up just you mentioned the increasing investment on Western Canada and I saw that Rupert – is the chain of ownership at Rupert, is that enhancing the opportunities there, or is that looking for expansion compared to what you've seen just maybe you can talk a little bit about the growth on the intermodal side there?
Jean-Jacques Ruest - Chief Marketing Officer & Executive Vice President: So the prior owner – the current owner Maher announced they're going ahead with the construction of the expansion of the terminal 500,000 TEU, 90% will be rail, say 5%, 10% will be truck and then subsequently a new owner is coming in to buy Maher, DP World, Dubai Ports, great company, large scale over the world, a lot of customers contact that could help to market and pre-market the capacity of the terminal that they're just about to buy. So I think from a CN point of view, it's fantastic news, expansion of our line, very strong partner who has a scale, world-scale basis, and we are already marketing that aggressively.
Claude Mongeau - President, Chief Executive Officer & Director: Thank you, Ken and I...
Kenneth Scott Hoexter - Bank of America Merrill Lynch: Welcome. Thank you.
Claude Mongeau - President, Chief Executive Officer & Director: Thank you, Ken. I will take this opportunity to remind everybody of our rules of engagement: one question per participant.
Operator: The following question is from Walter Spracklin from RBC Capital Markets. Please go ahead.
Erin Lytollis - RBC Dominion Securities, Inc.: Thanks very much. This is Erin in for Walter. I just want to clarify sort of your FX sensitivities, given the movement that we've seen in exchange rate, any updates to your assumptions? I think your previous disclosures have said that a CAD 0.01 change is about CAD 0.02 in EPS. Hoping you can provide an update there.
Luc Jobin - Chief Financial Officer & Executive Vice President: Yeah. I mean, as we look at the current environment – it's Luc – I would say a CAD 0.01 change translates now roughly into about CAD 30 million on net income, which then again translates into about CAD 0.04 on EPS.
Erin Lytollis - RBC Dominion Securities, Inc.: Great. Thanks. That's my one question.
Claude Mongeau - President, Chief Executive Officer & Director: Welcome.
Operator: Thank you. The next question is from Bill Greene from Morgan Stanley. Please go ahead.
William Jeffrey Greene - Morgan Stanley & Co. LLC: Yeah. Hi there. Good afternoon. You know, Claude, CN for so many years had this tremendous cost advantage over its peers, and you can see that in the long-term growth rates that you've achieved. A lot of the competitors are focusing a lot more now, obviously, on costs. Does that change the competitive landscape for you? Do you worry that that puts at risk any of these targets to grow faster than the economy and to continue to sort of drive the top-line in ways that maybe some of your peers haven't been able to?
Claude Mongeau - President, Chief Executive Officer & Director: You know, I mean, we – if you look at our first quarter results, we like how our performance stacks up versus the rest of the industry. We think we are investing to stay ahead of the curve, because that's the way to have the right assets in place, to provide the solid service that differentiates our capability in the marketplace. We're innovating, in terms of end-to-end supply chain thinking, where our customer-centric agenda, our Sell One CN, all of those initiatives are resonating. And so, we feel good about the market response, and we believe that it's competitive world out there. As others get better we have to continue to improve and get better, but we're resonating we have good growth, and we feel good about the prospects for the future.
William Jeffrey Greene - Morgan Stanley & Co. LLC: So, it's not just cost but also services, your point?
Jean-Jacques Ruest - Chief Marketing Officer & Executive Vice President: I'm not sure we have that many customers who look at operating ratio before they make a decision to award us some business. They're looking for value. So cost advantage give us the ability to compete for the business, where the customers will award his business based on service and service differentiation. I mean, that's when you look at what we've done in the last two years, especially people came to us because of service we offer not because we have the best operating ratio. You put yourself in the shoes of a customer, that's how they see it.
William Jeffrey Greene - Morgan Stanley & Co. LLC: Excellent. Thanks for the time. Appreciate it.
Claude Mongeau - President, Chief Executive Officer & Director: Thank you, Bill.
Operator: Thank you. The next question is from Cherilyn Radbourne from TD Securities. Please go ahead.
Cherilyn Radbourne - TD Securities: Thanks very much. Good afternoon. Just wanted to ask one about the energy business. I'm curious if you could speak to how much of your crude by rail business is with large integrated companies and whether there was any change mix of origins and destinations in the quarter?
Jean-Jacques Ruest - Chief Marketing Officer & Executive Vice President: Well, there's definitely a shift from what was moving in carload service, merchandise service to unit train service. And at the same time that means that shift also we're dealing now with typically bigger player, either the refiner themselves, the people will ultimately buy the product or the producer of the crude back at the origin. So the shift is toward larger companies, larger blocks of business, and less of the midstream, the company who are in between. I don't know if that answered your question, Cherilyn?
Cherilyn Radbourne - TD Securities: Yeah. And just given the shift in differentials during the quarter, was there much of a shift in terms of the mix of origins and destinations?
Jean-Jacques Ruest - Chief Marketing Officer & Executive Vice President: No, not so much, because the market was already moving towards very big buyer and big seller and big block. But the fluctuation in the spread does definitely impact the business from month-to-month, because when people made the transaction for what crude they could buy to pay the refinery for the following month, but right now they're looking – they were looking at May – all these spreads start to matter more than – they're in the range it matters.
Cherilyn Radbourne - TD Securities: Okay, that's helpful. That's my one. Thank you.
Claude Mongeau - President, Chief Executive Officer & Director: Thank you, Cherilyn.
Jean-Jacques Ruest - Chief Marketing Officer & Executive Vice President: Thank you.
Operator: Thank you. The next question is from Chris Wetherbee from Citi. Please go ahead.
Chris Wetherbee - Citigroup Global Markets, Inc. (Broker): Great. Thanks. Just a question in the next couple of quarters, as you see volume growth naturally decelerate because of the tougher comp, how should we be thinking about head count as it plays out to the rest of the year?
Luc Jobin - Chief Financial Officer & Executive Vice President: Well, Chris, it's Luc. In the first quarter we were up about 6% in terms of average head count. So, the whole year, we're probably looking closer to about 3%, so you'll recall we accelerated through the second half of last year. So, we'll be showing slightly higher numbers through the first half of this year? But our target overall would be probably around the same level of growth as we're seeing in the carload, so about 3%.
Chris Wetherbee - Citigroup Global Markets, Inc. (Broker): Okay. Thanks, (33:48), thanks.
Jean-Jacques Ruest - Chief Marketing Officer & Executive Vice President: Okay.
Luc Jobin - Chief Financial Officer & Executive Vice President: Thank you, Chris.
Operator: Thank you. The next question is from Jason Seidl from Cowen & Company. Please go ahead.
Jason H. Seidl - Cowen & Co. LLC: Thank you, gentlemen, for taking the time. Why don't you talk a little bit more about sort of the Prince Rupert expansion? Obviously, we're probably seeing a little bit of freight, one from the West Coast ports, but it seems like this expansion is more than temporary, and that you guys think there's a lot of business to generate through Prince Rupert and other areas. I was wondering if you could talk to how much business you think you probably took from the West Coast ports, and also talk about the growth going forward.
Jean-Jacques Ruest - Chief Marketing Officer & Executive Vice President: So, in terms of West Coast ports, Rupert is only so big, and what was happening in the U.S. West Coast was quite large. Probably the biggest benefiter of the U.S. West Coast diversion was the East Coast port, New York, Norfolk, Savannah and the likes, and up to a point the Canadian ports, Vancouver and Rupert, Rupert having more capacity available. But at the same time, we've been marketing this for quite a while. People came to Rupert – when I say people, I mean, the importers – we didn't get a new shipping line coming through Rupert in the first quarter, what we had is more importers who really want to spread their eggs in two more ports, East Coast port and Canadian port. And we feel fairly confident that, obviously, the business will stick with us. And when you look at our commitment, we're investing into major capital investment in Toronto, which partly will be feed from the West Coast, and Dubai Port also was very confident and believed that Rupert is a great port to serve the U.S. Midwest, and a great port to serve Eastern Canada. So, us and them are very much aligned in the future. Rupert has a solid growth area.
Jason H. Seidl - Cowen & Co. LLC: Okay. Thank you. That's my one.
Claude Mongeau - President, Chief Executive Officer & Director: Thank you.
Operator: Thank you. The following question is from Benoit Poirier from Desjardins Capital Markets. Please go ahead.
Benoit Poirier - Desjardins Securities, Inc.: Yeah. Thank you very much. So, just in terms of volume, we understand that you'll be facing a tough compare in Q2 with the grain, obviously, going into the negative territory. What should we expect in terms of RTM, because so far you're trending downward 2%, any expectation for the Q2?
Jean-Jacques Ruest - Chief Marketing Officer & Executive Vice President: So, broadly speaking, we might in the second quarter see a RTM, which would be a little weaker than the carloads. So, we'll see it in the quarter. All things add up, but you might see that the RTM is somewhat weaker than the carload growth for the second quarter.
Benoit Poirier - Desjardins Securities, Inc.: Okay. Thanks. That's my one.
Jean-Jacques Ruest - Chief Marketing Officer & Executive Vice President: Thank you.
Claude Mongeau - President, Chief Executive Officer & Director: Thank you, Benoit
Operator: Thank you. The next question is from Brandon Oglenski from Barclays. Please go ahead.
Brandon Robert Oglenski - Barclays Capital, Inc.: Good afternoon, everyone, and thanks for taking my one question.
Claude Mongeau - President, Chief Executive Officer & Director: Make it...
Brandon Robert Oglenski - Barclays Capital, Inc.: Claude or JJ, so we'll play by the rules here. There's a big concern not only for the railroads, but I think across industrial investors right now that we're just late in the cycle, obviously, commodity prices are trying to signal something potentially. FX has moved a lot for Canada. I mean, what's the confidence in your visibility with your big customers, maybe outside of energy, maybe more talking about the merchandise segment, the automotive segment, intermodal, that leads you to the idea that, hey, we're actually going to see positive volume growth even on the back of what turned out to be a really strong 2014?
Jean-Jacques Ruest - Chief Marketing Officer & Executive Vice President: Yeah. Definitely, if you take it sector by sector, this is where you see the positive growth. The Canadian forest industry at an exchange rate of CAD 0.80, CAD 0.82 is doing very well, especially for what they export to the U.S. If you look at the automotive industry, they want us to move more product, and also because they make more product, they want to bring even more container from Korea, Japan and China. So when you break it down by sector, this is where you see where the growth is coming in, which is really aligned to what you would see in the economy. And at the same time, when you talk about grain, it's a one-timer. We had a fantastic crop two years ago, good and bad holistically and commercially, and the next crop will come in and after that we'll pick it up from there again. You look at China, China is doing not too bad, but in term of making more steel, the world is awash with steel, so I mean – so when you take them one at a time, the visibility is fairly good. The place for the visibility is maybe a little more challenges. Energy, what's going to happen to the price of crude, if anybody on the line can help us out here that would be useful, same thing with the price of gas and how much activities will take place in terms of drilling, that's a complicated question to answer?
Claude Mongeau - President, Chief Executive Officer & Director: And that's a good question, Jason.
Janet Drysdale - Vice President-Investor Relations: Brandon.
Claude Mongeau - President, Chief Executive Officer & Director: Brandon, I'm sorry. Basically, the confidence of the consumer is where we see bright spots. We may be wrong. Things can change, but there has to be a lot of discretionary income flowing to the consumers with lower energy prices, so we're hopeful that that will help durable goods like automotive, housing starts. Construction material in general is a market that's still below where we were in five years ago in the recession, so we have markets that are sleepers, where growth – secular growth is still very solid. We have markets where our ability to be differentiated in terms of our product offering is helping. Intermodal would be the best example of that, and then we have global offshore markets that are facing headwinds and uncertainty in the energy play. Overall, the diversification of our business mix and the strength of our agenda allows us to grow and continue to expect to grow faster in the economy and to drive shareholder returns that way.
Brandon Robert Oglenski - Barclays Capital, Inc.: Appreciate it.
Operator: Thank you. The next question is from Allison Landry from Credit Suisse. Please go ahead.
Allison M. Landry - Credit Suisse Securities (USA) LLC (Broker): Good afternoon. Thanks for taking my question. So, I wonder if there's a way for you to bookend your expectation for double-digit earnings growth within the context of muted carload growth and at least for the second quarter a somewhat softer RTMs as well. So, should we be thinking of something in the low double-digit range versus the consensus of roughly mid-teens?
Claude Mongeau - President, Chief Executive Officer & Director: That's a very good question, but our guidance will stand for what it is. We're confident that we will be delivering double-digit earnings growth, and we're not uncomfortable with the consensus that's out there today as we speak.
Allison M. Landry - Credit Suisse Securities (USA) LLC (Broker): Okay. Thank you.
Unknown Speaker: Thank you, Allison.
Operator: Thank you. The next question is from Scott Group from Wolfe Research. Please go ahead.
Scott H. Group - Wolfe Research LLC: Hey, thanks. Afternoon, everyone. So, wanted to ask about pricing. So, came in at the upper end of the expectations for the year and wanted to get your sense on how sustainable that is and if that's a potential source of upside to keep that pricing at that upper end of that 4% range? And then, just more specifically on pricing, as you lowered the energy volume expectations, have you seen any changes at all in the pricing, that you're getting for crude or sand?
Jean-Jacques Ruest - Chief Marketing Officer & Executive Vice President: So, starting with the – broadly we've guided the price to be same-store basis 3% to 4% for the year. And remember, August 1, because we are Canadian railroad, August 1, the Canadian grain cap will be reset, and it will be reset at minus 1%. So, we'll see that kind of flowing through the second half of the year. Regarding frac sand and crude, not necessarily a change in the pricing direction of those markets, a lot of the – I guess, newer thing happen during the first quarter is to where these markets are heading volume-wise. We like to be paid for what we do. It's not because the commodity and the car is of high price or low price but it necessarily should impact – it does impact our freight rate. We provide transportation services and commodity price goes up and down and freight rate are in other market.
Scott H. Group - Wolfe Research LLC: Okay, Jim, I'm just now trying to understood kind of what you were trying to say about the oil and sand pricing that you're seeing out there, and how that's changing or maybe mix is changing it.
Jean-Jacques Ruest - Chief Marketing Officer & Executive Vice President: What I'm saying is that there's no relation between our freight rate and what's happening in the volume or the space of frac sand and crude.
Scott H. Group - Wolfe Research LLC: Okay. That's helpful.
Jean-Jacques Ruest - Chief Marketing Officer & Executive Vice President: It's not that crude is weaker that the freight rate for the crude will be weaker.
Scott H. Group - Wolfe Research LLC: Okay.
Operator: Thank you. The next question is from Turan Quettawala from Scotia Bank. Please go ahead.
Turan Quettawala - Scotia Capital Markets: Yes, good afternoon. Luc, I had a question on the headwind from the fuel surcharge. In the last call, you had talked about, I believe, it was CAD 100 million headwind for the full year on fuel surcharge. And I think that was based on CAD 50 crude. I know crude is, obviously, incredibly volatile here, but can you just provide an update to that headwind for 2015 now that fuel is pretty much hitting CAD 60 or maybe is there some easy sensitivity that we can think about there?
Luc Jobin - Chief Financial Officer & Executive Vice President: Yeah, Turan, it's a good question, and again it's one where there's so much volatility that it's a tough one to call. Suffice it to say, we have seen a little bit of upward movement in the WTI, I mean, so it's hovering around 55% right now. The question for us and what we're going to have to see is where does the exit point at the end of the year towards the last part of the year last quarter or so, what's it going to do. We haven't changed so far our assumption, which is on average for the year about 50%, but with an exit that probably will be closer to 60%. So, it's difficult to modulate with great precision, but I would probably for now anyway stick to the roughly CAD 100 million or so kind of range, and we'll have to walk it home. So, it's going to be a bit bumpy, and we'll see how it goes. Hopefully, if I can get better clarity I'll update in the next quarter.
Turan Quettawala - Scotia Capital Markets: Thanks. So, I guess – but for – in Q2 just to be specific, is it going to be about this – should it still be a tailwind though?
Luc Jobin - Chief Financial Officer & Executive Vice President: Well, it depends. If you tell me, where this WTI is going to earn and how I'll respond. So if it takes a big step up, of course, then we're going to have a bit of a fuel lag, and we'll see where that all shakes out.
Turan Quettawala - Scotia Capital Markets: Got it. Thank you very much.
Luc Jobin - Chief Financial Officer & Executive Vice President: Okay.
Claude Mongeau - President, Chief Executive Officer & Director: Thank you.
Operator: Thank you. The next question is from Matt Troy from Nomura. Please go ahead.
Matt Troy - Nomura Securities International, Inc.: Thanks. Just in light of the agreement you reached with the Teamsters Canada Rail Conference, I guess, a few days ago. Just wondering if you could just put kind of the outcome of that into context and just give us an update across the labor force where you stand in terms of negotiating with the various agreements you've got expiring over the next few years. Thanks.
Jim Vena - Chief Operating Officer & Executive Vice President: Yeah. Matt, its Jim, thanks for the question. So, that's the last major one that we have in Canada. So, basically it gives us a framework that nothing is – no new agreements are going to have to be negotiated before the middle of 2016 and then the timeframe will be into 2017 before we get it. So nice stable area where we're at right now. It was very much a pattern agreement. We had some changes in productivity that will help us and the wage increases pattern with the rest of the agreements that we put in place. In the U.S., we have a number of agreements, but of course anybody who follows the railroads real close it's a different regulatory and different process negotiating in the U.S. than it is in Canada and we continue to negotiate. We don't see any stumbling block or anything that we're concerned with, with any of the agreements that would affect us run – operating the railroad in an efficient manner.
Matt Troy - Nomura Securities International, Inc.: Thanks for the time.
Jim Vena - Chief Operating Officer & Executive Vice President: Thank you.
Claude Mongeau - President, Chief Executive Officer & Director: Thank you.
Operator: Thank you. The next question is from Tom Wadewitz from UBS. Please go ahead.
Thomas Wadewitz - UBS Securities LLC: Yeah, good afternoon. I wanted to ask you about the intermodal yield. It looks like it was down about 3% year-over-year. You had strength in intermodal yields in the fourth quarter, so it's a bit of a change. Wondering is that some price competition maybe contract rolled over? Is there something that – something else, a really big fuel impact or what's behind that, and would you expect that to be the pattern if you look at the next couple of quarters? Thanks.
Jean-Jacques Ruest - Chief Marketing Officer & Executive Vice President: Well, maybe just to clarify our same-store price on intermodal is positive, but when you look at the – I think you're looking the – cent per RTM or the revenue per unit...
Thomas Wadewitz - UBS Securities LLC: Yeah, revenue per car.
Jean-Jacques Ruest - Chief Marketing Officer & Executive Vice President: Yeah, mix is a big factor. Exchange rate is another big factor. Fuel surcharge, which obviously, is down is another big factor. And in intermodal is where we have a higher proportion of our WTI fuel surcharge formula, which as I've said earlier we're converting over time. So when you add all of these things, it's a lot of noise. But what we do is we measure thing on the same-store price basis. And those are – we're getting price increase in the base price.
Thomas Wadewitz - UBS Securities LLC: Yeah.
Claude Mongeau - President, Chief Executive Officer & Director: So, I wouldn't worry. Other than those moving parts that, Tom, that are difficult to predict, the FX, the fuel surcharge, the value of our service, and our pricing approach in intermodal is very much to get value for those services, is nothing to be concerned about, and we'll continue to do that for as long as we offer good service.
Thomas Wadewitz - UBS Securities LLC: What is the mix that you referred to, JJ? I just don't have intuition on what that is?
Jean-Jacques Ruest - Chief Marketing Officer & Executive Vice President: Mix as in length of haul, mix as in how much we have price in Canadian fund, how much we have price in U.S. funds, mix as is – we have some of that price, fuel surcharge, WTI, some of this price on-highway diesel that we're converting to highway diesel. So, all these things do impact the revenue per unit, and are significant in the big scheme of things.
Thomas Wadewitz - UBS Securities LLC: Right, okay.
Claude Mongeau - President, Chief Executive Officer & Director: Thank you, Tom.
Thomas Wadewitz - UBS Securities LLC: Thank you.
Operator: Thank you. The next question is from David Vernon from Bernstein. Please go ahead.
J. David Scott Vernon - Sanford C. Bernstein & Co. LLC: Hi. Thanks for taking the question. Just a question on overall sort of business mix. The last few quarters it looks like gross ton miles are growing at a much faster rate than revenue ton miles. I'm just wondering if that's something that we should expect going forward from an efficiency perspective, or if there are some one-time things happening in terms of the way the growth is developing that's driving that?
Claude Mongeau - President, Chief Executive Officer & Director: I think it's really a question of mix of the commodities that we move, because really the fundamentals are, you get the business in a carload, you get the distance in terms of your OD payer, and you get the weight in terms of the type of product that you're moving. The two measures are typically very much in sync, but from a quarter to a quarter there might be some mix differences that would play into making a little bit of a gap.
J. David Scott Vernon - Sanford C. Bernstein & Co. LLC: Just straight to the last point, two of the last three quarters – of the last – the lowest has been in – I don't know 10 years. So, I was just wondering if there's something else that might be there or this is just – it's just normal mix?
Claude Mongeau - President, Chief Executive Officer & Director: No. I think it's just normal mix there and really it's just normal mix.
J. David Scott Vernon - Sanford C. Bernstein & Co. LLC: All right. Thanks.
Operator: Thank you. The following question is from Steve Hansen from Raymond James. Please go ahead.
Steve Hansen - Raymond James Ltd. (Broker): Yes, good afternoon. I think you noted in your commentary that the reversal of the cogen line has had a beneficial lift on your nat gas and liquid volumes that you're moving here. Given the stranded nature that we're likely to see over the next couple of years, I was just wondering if you try to quantify that opportunity as it evolves here, and I understand there's also multiple export terminals now been proposed for the West Coast, trying to get a sense what that could mean for the next year or two.
Jean-Jacques Ruest - Chief Marketing Officer & Executive Vice President: Yeah. I'm not sure we will get down to forecasting carload by commodity group here. But definitely the value of the propane and the butane and natural gas – natural gas is very low, very cheap, leaving the propane in it is kind of – it's a sin because propane should be selling better than natural gas value. So already a number of producer in Western Canada mainly around Edmonton are building fractionator to extract propane and some of the liquids from the gas so they can sell it for the value that it should have. Some of it within North America, some of it for export project as you mentioned. So, when you talk about the energy renaissance, we talk about crude and the frac sand earlier, but one can also talk about the liquid, which are trapped in the Canadian gas, which no longer can move to the U.S. market by their own existing pipeline. And so, it does give us an opportunity, especially in 12 months from now when these plants start to start up as you know. So, those capital investments give us a visibility that somebody out there does believe that propane should have its own value, and that should not be sold at a price of natural gas.
Claude Mongeau - President, Chief Executive Officer & Director: Thank you.
Steve Hansen - Raymond James Ltd. (Broker): Okay. Thank you.
Operator: Thank you. The following question is from Brian Ossenbeck from JPMorgan. Please go ahead.
Brian P. Ossenbeck - JPMorgan Securities LLC: Hi. Thanks. Good afternoon. So you mentioned automotive is fairly strong over the remainder of this year, I was just curious how you view the potential for more production moving to Mexico and possibly shutting down relocating from Eastern Canada, how big of a shift do you think that could be, and what timeline do you think you have to start preparing for that dynamic?
Jean-Jacques Ruest - Chief Marketing Officer & Executive Vice President: I think we've already – this is not a new phenomena we have. There is a lot of it already taking place, right. There's a number of plants actually running or in construction in Mexico. So we – the base that we have, I would say in Michigan, Ontario and up to a point we participate in the parts going to the Ohio plant, is an exciting part of CN as much as the finished vehicle, but also there's a big business in moving parts into these assembly plants. There was an article in Wall Street Journal a while ago that was explaining how much of a foreign content now there is into a car manufactured in North America, meaning more and more of the parts are not necessarily coming from Mexico, they're coming from overseas. They're coming from – they're coming in container. So the automotive story is as much as the finished vehicle story as it is as intermodal story, and we're pretty much on the – this market opportunity in a big way.
Claude Mongeau - President, Chief Executive Officer & Director: I mean, our customers are investing in global vehicle platform and over time you have to expect that we will be to move Michigan/Southern Ontario vehicles for export as well as for North America, so we – as, JJ said, there's been a lot conversion but the plants that are already there are competitive, the Canadian dollar is helping and as long as they produce good vehicles, we will move them to market.
Jean-Jacques Ruest - Chief Marketing Officer & Executive Vice President: Yeah. Both of them should grow, finished vehicle and parts. And as I mentioned earlier, we also now paying attention and focus on what's happening in Mobile, Alabama, and we think that's another nice gateway for CN to exploit, namely for the product coming from South America.
Claude Mongeau - President, Chief Executive Officer & Director: Thank you.
Brian P. Ossenbeck - JPMorgan Securities LLC: Okay. Thank you.
Operator: Thank you. The following question is from Tom Kim from Goldman Sachs. Please go ahead.
Tom Kim - Goldman Sachs & Co.: Thanks. I have a question on cost. Just given the improvement that you're seeing in service levels as well as your increasing network velocity, should we expect to see this reduce your overall cost curves, particularly in purchased service expenses and equipment rents?
Claude Mongeau - President, Chief Executive Officer & Director: A lot depends on volume. I'll let Jim give you a sense of his initiative, but we focus on every lever of cost, fuel efficiency during the quarter was up 3%. Our yard productivity is up significantly on a year-over-year basis. If we have more volume, we will have more expense, but we focus on efficiency and productivity in every piece of the activity that we drive. Jim?
Jim Vena - Chief Operating Officer & Executive Vice President: Listen, the only thing I can add is this is something we look at on a daily basis. We're always concerned about where the business level is, how efficient that we run the railroad and efficient isn't just how fast you move it and how much – what it cost you. I'm very comfortable with the mechanisms we have in place to react. I'm very comfortable that they – that business comes in and it keeps on growing, that we'll put it up to the bottom-line, be able to handle it efficiently like we have up to this point with less cost per unit. And if it slows down and the growth isn't quite at the level that we expected, we've taken into account what we would do and we'll react quick and make sure that we're – we drive as many much of the cost out as we can, as quickly as possible and make sure we get it to the right place, so that's what we look at when we come to cost.
Claude Mongeau - President, Chief Executive Officer & Director: Thank you.
Operator: Thank you. The next question is from Steven Paget from FirstEnergy Capital. Please go ahead.
Steven I. Paget - FirstEnergy Capital Corp.: Good afternoon and thank you. It's a sunny day here in Calgary, too. So supply chain management, maybe if I can rephrase it, could be about how CN works with customers, non-rail and transportation and logistics networks. Is supply chain management more about winning new customer contracts or about operating the existing network and the existing business more efficiently?
Claude Mongeau - President, Chief Executive Officer & Director: Yeah. Listen supply chain approach is a mind-set, we are a great railroad. We're leading the industry in service and other key efficiency metrics. But we think of our role as connecting the dots from M2M. I'll give you a good example when we are dealing with containers, that land comes from a ship, lands on a dock in Western Canada and wants to go inland, whether it's Toronto or the U.S. Midwest, the end-to-end journey of that container often touches other participants in the marketplace. It's our global container terminal in Vancouver. It's Maher, soon DP World, and Prince Rupert. It's about all the way to destination, including the inland terminals, the trucking arm of our – the trucking leg of the journey to destination. We think about it end to end, and we try to optimize that supply chain so that the customer gets the best possible efficiency and service reliability from one end to the other. It's a mind-set. It's an approach of daily engagement, but it's also an approach of marketing. The more you know about your customer, JJ was talking about automotive parts, for instance, the visibility to the inbound container flow, the ability to load those containers that are empty when they get to Detroit and fill them with export so that the return journey is as a match-back movement, and you lower the cost for the shipping line, round trip economics, end-to-end visibility, daily engagement, the ability inside CN to think like supply chain enablers as opposed to just great railroaders, it's that entire package that's giving us the results that we have. And they show up in top-line growth. They show up in joint efficiency initiatives, and they show up in our ability to over time drive value for our shareholders.
Jim Vena - Chief Operating Officer & Executive Vice President: Sounds easy.
Steven I. Paget - FirstEnergy Capital Corp.: Well, thank you, Claude. That's my question.
Claude Mongeau - President, Chief Executive Officer & Director: That was a good one. Thank you.
Operator: Thank you. The next question is from Keith Schoonmaker from Morningstar. Please go ahead.
Keith Schoonmaker - Morningstar Research: Thanks. A quick question for Jim perhaps, terminal dwelling velocity improved despite the strong RTM growth. And I recognized there may not be a standard metric for this, but could you quantify how these metrics are translating into changes in your on-time departure performance; as well, could you indicate if this is still improving or would you say it's in pretty good shape at this point?
Claude Mongeau - President, Chief Executive Officer & Director: Well, you know what, there comes a point where you – the metrics get to a level where you start saying to yourself, wow, what else is left.
Keith Schoonmaker - Morningstar Research: Yeah.
Claude Mongeau - President, Chief Executive Officer & Director: And I'm very comfortable with where the first quarter ended up, and that's why I didn't make a big deal out of it. We worked hard at it. It's at the right level. Every metric below, you could – if I brought up the sheet that I keep track of and look every day, there wasn't a metric that I would say moved sideways or down. They were all positive. Second quarter continues to be strong, metric-wise. So, at the end of the day, we're going to do everything we can to optimize it and make sure that we've got it at the right place. But again, the second quarter of this year is headed in the right direction, and hopefully it keeps on there. But more important for me and as I said, this is not about how much money and how much capacity you can put in to run the railroad quicker, it's being smart about what we put in for capacity, it's investing properly into the company and then, making sure that we give a competitive advantage. We're still fairly quick, I think, comparing to everybody else, and that's where we want to be, is at the top of the heap or right close to the top and stay at the top if we can. So, that's what drives me and that's what drives the whole operating team.
Keith Schoonmaker - Morningstar Research: Jim, are you willing to share the on-time performance?
Jim Vena - Chief Operating Officer & Executive Vice President: Yeah. It's very high. I don't have the numbers sitting right in front of me, but it's pretty nice.
Keith Schoonmaker - Morningstar Research: Okay. Thank you.
Claude Mongeau - President, Chief Executive Officer & Director: Thank you. You're judging his bets here on the potential for future productivity. Thank you, Keith, for that question.
Operator: We have no further questions. I'd like to turn back over to Mr. Mongeau. Please go ahead, sir.
Claude Mongeau - President, Chief Executive Officer & Director: Thank you. So, it's been a very good call, and as we said, we are pleased with our first quarter results. It's an uncertain environment in terms of the certain parts of our markets and we have to face up to it, and we're trying to give you our best sense of what it means in terms of overall growth. But we have a lot of initiatives. We're building for the future. We like our – how our agenda is delivering, and we look forward to meet you in – at the end of Q2 to talk about another bang up quarter. Thank you.
Jim Vena - Chief Operating Officer & Executive Vice President: Thank you very much, everyone.
Jean-Jacques Ruest - Chief Marketing Officer & Executive Vice President: Thank you.
Operator: Thank you. The conference call has now ended. Please disconnect your lines at this time. Thank you for your participation.